Operator: Ladies and gentlemen, welcome to the Q1 publication results for Hermès International. I'm now going to hand over the floor to Mr. Eric du Halgouët, Executive VP, Finance; and Ms. Carole Dupont-Pietri, Head of Investor Relations. Over to you.
Eric du Halgouët: Good morning, everybody. Thank you very much for joining. The group's consolidated revenue reached EUR 4.1 billion in the first quarter of 2025, up 9% at current exchange rates and 7% at constant exchange rates. The group recorded solid growth in Q1 despite a high comparative basis last year. At the end of March 2025, currency fluctuations represented a positive impact of EUR 49 million on revenue. At the end of March 2025, all the geographical areas posted growth. More on that later. The group reinforced its investments this quarter in its production capacity with three additional leather workshops for the next three years as well as in the other divisions, the distribution network and the supply chain. True to its commitment as a responsible employer and its desire to share the fruits of growth with all those who contribute to it daily, Hermès will be distributing, in 2025, more than EUR 500 million to its employees in respect of profit sharing for 2024. The group continues to create jobs to support the division's growth. Our outlook for 2025 remains unchanged. In a more uncertain economic and geopolitical context, the group has moved into 2025 with confidence, thanks to its highly integrated artisanal model. Our strong growth allows us to prepare for future economic uncertainties. Over to Carole now for the regional figures and the division breakdown.
Carole Dupont-Pietri: Thank you, Eric. Good morning, all. Let's take a look at the business with the different regions and the evolutions are given at constant exchange rates. At the end of March 2025, all regions posted growth. The main trends are the following: We have Asia, excluding Japan, that is at plus 1% despite a particularly high comparison basis and despite the downturn in traffic in Greater China since the end of Q1 2024. Sales have been driven by the loyalty of local clients and have benefited from the House's value strategy. In March, the Taichung store reopened in Taiwan after expansion work. And in Thailand, the store in Bangkok's Central Embassy Mall reopened in January after renovation and extension work. Japan, plus 17%, recorded a regular and sustained growth driven by the loyalty of local clients. Americas, plus 11%, posted good growth following an exceptional performance in Q4 '24, supported particularly by the solid momentum in the U.S. in March. Two store openings are planned in H2 in Phoenix and Nashville. Europe, excluding France, is at plus 13%; France, plus 14%. Good results, thanks to sustained local demand and dynamic tourist flows. In Italy, our Florence store reopened after renovation and extension works. And in Paris, the 15th Saut Hermès event was celebrated in March, very successful at the Grand Palais. The other area, plus 14%, which mainly includes Middle East, continues its momentum. Let's take a look at the different divisions, métier still at constant exchange rates. Leather goods in Saddlery métier plus 10%, achieved robust performance with new models for bags, Médor and Mousqueton. The increase in production capacities continues with the upcoming inauguration of the L'Isle-d'Espagnac leather workshop and also in Loupes in Gironde and Charleville-Mézières in the Ardennes region for '26 and '27, respectively. They will reinforce the 9 centers of expertise located across the national territory. Hermès thus continues to enforce its anchoring in France and creating jobs there. The Ready-to-wear and Accessories sector, plus 7%, confirms its momentum. The women's autumn-winter 2025 collection was successfully presented at the beginning of the March at the Garde Républicaine. The men's autumn-winter 2025 runway show was also very well received in the Palais d'Iéna in January. The Silk and Textiles sector grew 5%, thanks to its broader and more enlivened range. Perfume and Beauty remained stable, continued to grow with Terre d'Hermès Eau de Parfum Intense, imagined by Christine Nagel. For Hermès Beauty, we now have the new Rouge Brillant Silky, available in 14 permanent shades, and a limited edition of 3 lipsticks. In a still challenging context, Watches continues its strategy based on its complications and the House also unveiled at the Geneva Watches & Wonders exhibition new complications or an iconic complication, Le temps suspendu. The new porcelain tableware collection, Hermès en contrepoint, was unveiled in January and the other Hermès sectors are plus 6% driven by jewelry. Thank you very much.
Operator: [Operator Instructions] First question from Luca Solca from Bernstein.
Luca Solca: I have a question on your progression across the quarter. Have you seen, with the news from the U.S., any changes in trends? Have you seen, for example, a slowdown in some regions attributable to the increase in tariffs, which would probably affect April more than Q1? But have you also seen any impacts with job destruction, sorry, in the U.S., where some of your competition are seeing some weaknesses appear?
Eric du Halgouët: Thank you very much, Luca. First of all, to answer your first question on America. We've grown to the tune of 11% in Q1. It's a virtuous growth because there is a scope effect and a price effect that is of about 5%. So double-digit growth. And you can see it in the U.S., Mexico, Canada and Brazil. So it's really all of the Americas. In Q1, we had a start of the year, which was a bit slow because of climate events and the fires in L.A., whereby we had to close our stores in Beverly Hills and Topanga. And then there were also a lot of snow in some states such as Florida, as unlikely as this was. The beginning of the year was also affected by very low stock levels in the U.S. Our Q4 was very good in 2024 with plus 22%. The teams were very motivated, but our stock levels were quite low at the beginning of the year. And then March was very good for us in both the East and West Coast, thanks to the replenishment of stocks. So good performances for all the divisions in the U.S. At the moment, there is no changes in that trend for early April, which might not be very representative because we only have 2 weeks' worth of figures, but we don't see any changes in trends. Now for the other regions because that's also what your question was kind of driving at. For the tariffs more specifically, at the moment, the tariff levels have not been set or not set in stone at any rate. And since the 9th of April, we have an extra 10% tariffs because that's what is applicable to the EU. But we've compensated the gross effect of that extra 10% by increasing our prices in the U.S., and we'll do so from the 1st of May. And we'll do this across all the different divisions and businesses, that price increase. So we remain cautious because we know that these announcements have a huge impact on the financial markets and the impact also on the dollar, which went from $1.03 to $1.13 today.
Luca Solca : Thank you very much. Just an additional question on stock levels. You said, Eric, at the beginning of the year that Q4 sales were very good. But what about the other region? What about the stocks for leather goods? Are they at the right level?
Eric du Halgouët: Well, stocks have gone back to a normal level. You might have to wait a month or 2 here and there to have the optimum level of stocks, but we are pretty much back to normal everywhere.
Operator: Next question, Charles-Louis Scotti from Kepler Cheuvreux.
Charles-Louis Scotti: I have 2 questions. Number one, on your performance in Asia Pacific by Japan. It looks like things were improving at the end of the year, but growth has slowed down once again in Q1. Can you give us a bit more granularity on the greater China performance? Is it down to the drop in footfall? Or is it the conversion rate going down? Second question on tariff. You're going to compensate that by a price increase. Could you give us an idea of the price increase that you're aiming for at the beginning of May?
Eric du Halgouët: So for Asia Pacific, there is a small amount of growth, but with a high comparison basis, because growth was at 14% in Q1 2024. Now for Greater China more specifically, we are pretty much flat compared to 2024 -- compared to Q1 2024 in spite of a high comparative basis. We had a very good, for example, Chinese New Year last year. So this year, once again, we were able to sell as much as in 2024, which is in and of itself a good performance in the current context. We don't see any changes in trends in the Asia Pacific area. That's the main takeaway. Now when you look at Taiwan, we have very dynamic growth there with a value strategy and very loyal customers. In Macau, the situation is a bit more complicated with a drop in Chinese tourists. Hong Kong, no huge changes in the trends. We saw that there was a drop in tourism from Mainland China and the competition also from Shenzhen. So we have a lot of people from Hong Kong who go to Shenzhen. But Hong Kong remains an important financial hub. So we are not expecting any changes in trend. For Continental China, no major changes either. No disruption in the trends that we saw in Q2, Q3 and Q4 last year. There's one positive macroeconomic indicator, which is good for us. Real estate and exports remain quite difficult. Exports are difficult because of tariffs. But when it comes to consumption, the Chinese government has implemented a number of policies, which we believe will be positive. So consumption is the third pillar of China's economy, and it seems to be about to look much better. But in China, we still had good performance in spite of a high comparative basis. We're going to continue with our value-based strategy with small leather goods, jewelry, and ready-to-wear, which is going to allow us to keep revenue levels at what they were last year. And we are perfectly in keeping with our budget we had prepared for this Q1, and we are perfectly in line with what we had anticipated. Your second question on the price increase. Well, we haven't set things in stones. We are calculating things. It will come out soon, because the price increase will be enforced on May 1 in less than 2 weeks.
Operator: Next question, Thomas Chauvet from Citi.
Thomas Chauvet: Two quick questions. First of all, could you maybe give us a breakdown of volume, price and mix for Q1 for the main categories? It seems that there's a drop in volume for most divisions in Q1 apart from leather. Do you believe that some entry prices, some categories are a bit weaker because they're exposed to an aspirational client base? And could you maybe tell us about the negative impacts of currencies in 2025 that you mentioned in February during the annual results? Tell us also about your currency hedges and the drop in the value of the dollar and the RMB.
Eric du Halgouët: Now regarding the price, volume breakdown, what you can see is that our mature markets, France, Europe and Japan, are areas where we are posting solid growth and areas where volumes are also increasing once you removed the price effect. It's worth highlighting this because in these complicated times, local customer bases play a very important role for the group and helps us secure growth. For the U.S., as I said, the volumes have increased. It's only in China where things are a bit more complicated, although there is a high comparative basis effect. The divisions that are struggling the most, and it's mainly because of China, it's silk and fashion accessories and watches also, as you have seen. Watches where the comparative basis was very high with a very good Chinese New Year for watches, where we sold our iconic products, but also high-value watches with high levels of complication. And extrapolating growth with the volumes is a bit misleading, because we started with low stock levels, especially for leather goods. Now for the currency effects, no changes there. We're expecting a negative impact for our P&L, but we are covered for that. What might change is our coverage or hedging for 2026, but it's too early to say that. And then there's the conversion effect, whereby this gap between the constant and current growth will probably be smaller, the gap will be closed down.
Operator: Next question, Edouard Aubin from Morgan Stanley.
Edouard Aubin: First question, Eric. The consensus is a speed up of growth over the next few quarters. Of course, you haven't a crystal ball. But earlier, you mentioned that you were expecting a slowdown in growth for Q1. Do you think that growth is going to pick up and you're going to have a double-digit growth going forward? That's my question number one. Second question on the headcount. You have had a lot of employees join over the last couple of years. And I believe that you also have ambitious targets for 2025. You talked about a 10% to 12% increase in the headcount. Is that correct? And could you maybe give us a bit more color also on your distribution network, because the distribution network has grown or will grow by 3% for 2025, but leather goods production is going to increase by 6%, 7%. How are you going to reconcile all of this?
Eric du Halgouët: So the first question on growth. Yes, we remain ambitious and true to our ambitious objectives, although we, of course, remain cautious because of geopolitical changes that impacted the financial markets. At the moment, we haven't seen any impact, but we remain very conservative whilst keeping this ambitious growth target. We're not looking at double-digit growth, just single-digit growth. We continue our recruiting, especially for production. So for the upstream, we've got leather good production workshops that are in the pipeline. So we're going to grow the headcount, but it's going to be single-digit growth. And all our different divisions are growing and recruiting. And so back to the question, we're looking at what kind of numbers for 2025? An additional 1,000 to 1,500 people.
Edouard Aubin : Are you talking in net?
Eric du Halgouët: Yes. Yes, indeed, it is net compared to a basis of 25,000 people.
Operator: Next question, Adrien Duverger from Goldman Sachs.
Adrien Duverger: Two questions on my side. First of all, you talked about the performance of the divisions in China. Could you maybe say a word about the U.S.? I imagine small leather goods will continue to perform well because demand is so high. But have you seen any changes in the other métiers performance, those that don't have this volume constraints? And second question on China. Can you maybe comment on China in light of your experience there? Do you see any changes in consumer behavior? Or do you feel that Chinese clients have a different perception of European luxury goods?
Eric du Halgouët: In the U.S., no change in trends. The growth that we've seen there is attributable in a smaller part to leather goods because of low stocks at the beginning of the year. But for the other divisions or the other mid-tier, no changes in trend. And then for China, we haven't seen any changes in consumer behaviors. Nothing about dupes or anything like that, that you might read in the press. No changes in customer behavior in China.
Operator: David Da Maia from CIC.
David Da Maia: A technical question on the tariffs. Can you use aftersales to reduce the impact of tariffs in the U.S.? Could that be a way around price transfers? The interpreter apologizes, but the sound quality is very poor from our speaker. Will the price increases only concern the United States? Or is the price increase going to be more global?
Eric du Halgouët: Well, the price increase that we're going to implement will be just for the U.S. since it's aimed at offsetting the increase in tariffs that only applies to the American market. So there won't be price increases in the other regions. The price increase at the beginning of the year was 6%. But the second question, sorry, I didn't really catch it on the tariffs because of the sound. But the price that is going to be factored in for the calculation of the tariff is going to remain the same. So we see how we can offset and all of the countries pay a wholesale price, which is calculated on our costs in France. That policy remains the same.
Operator: The next question is from the English channel with Ashley Wallace of Bank of America.
Ashley Wallace: I have 2, please. The first question is just back on inventory availability. You mentioned that you had low stock available in both the U.S. and some other markets in Q1. But I was wondering if there's a way to potentially quantify the impact that this had on your revenue growth in the quarter. And as supply improves into the second quarter, should we expect revenue growth back to double digit from Q2 essentially? The second question is just on Europe, which remained quite solid. I was wondering if you could give some color between how locals versus tourists performed? And maybe if I could just like actually add one more question. Just on the tariffs and the price increase coming through in May in the U.S., can you just confirm whether that price increase will be on the 10% confirmed tariff for today? Or you're going to attempt to offset the full 20% proposed for the European market?
Carole Dupont-Pietri: Ashley, thank you for your question. So we confirm that regarding inventories, the impact is just limited on the Q1 concerning the very strong Q4 and sequential impact we had. And as Eric mentioned that just the level of inventory just should come to a more normal level, maybe 1 month or a little weeks more, but we will come back to, I would say, normality in terms of inventories for the rest of the year and the impact on the P&L. Just regarding Europe, what you saw is just a trend, which is just a dynamic, both with local demand and tourist flow. Just Eric mentioned also with different nationalities, just U.S., Middle East, some parts of Asia, well, not just the Chinese tourist flow regarding the trend. Last point regarding the tariff, maybe you can just precise a little more.
Ashley Wallace : I guess on the tariffs at the moment, there's a 10% blanket tariff for moving production -- or moving product into the U.S. right now, and there's a 90-day reprieve on the 20% potential tariff that will potentially be put in place for Europe. So I was just wondering when you do the pricing in May, will it be to offset the initial 10% tariff? Or will you look to do the 20% tariff that's being proposed for Europe?
Carole Dupont-Pietri: The weight that we have regarding this tariff is this 10%. And the idea is just to fully just offset this impact, I would say, this growth impact in '25, considering this new tariff with this increase of price on all the different métiers for us in the U.S. from 1st of May.
Eric du Halgouët: In addition to your question, the growth in Europe is -- we can observe that in U.K., Italy as well as Germany, Switzerland, Spain, Austria and so on. So it's a homogeneous growth throughout all the countries in Europe. And the biggest nationality in terms of export sales are, as Carole mentioned, Middle East and U.S.
Operator: Next question is from Melania Grippo with BNP Paribas.
Melania Grippo: This is Melania Grippo from BNP Paribas. I've got 2 questions and a clarification. First, if you could please give us a little bit of detail, so what currently we see in Korea? How is the environment there and maybe if you could state what is your performance? My second question is on the first half '25 profitability, how should we think about it in light of your Q1 growth and also the impact from hedging? And finally, the clarification on the inventory level. When you mentioned this, it just referred to leather or also to other categories?
Eric du Halgouët: So regarding your first question on Korea, we still continue to have a significant growth, more than double digit. We do not see any adverse context. Considering that other brands are facing difficulties, we do not see any change. Regarding the margin, of course, we are in line with our objective today, as I mentioned, for sales. So there is no doubt for uncertainty regarding profitability, but we remain very cautious given the geopolitical risks and the big impact on the financial markets, which could, at one step, impact some customers. But for the time being, we do not see it. And we do not see any significant change for the forecast this year.
Melania Grippo : And just sorry, on the inventory level, just a clarification whether this is just leather or also other categories when you mentioned the low inventory level?
Eric du Halgouët: It was mostly on leather. For other métiers, we are in line with our normative level of inventory.
Operator: We have no further questions for the moment.
Eric du Halgouët: Well, I suggest that we wrap this up just by saying that Hermès over the first quarter of 2025, posted a revenue of EUR 4.1 billion, which is a record better even than Q4 2024 with the Christmas figures. So we're growing across all the regions. And in these uncertain times, the loyalty of our customer base is crucial. Likewise, for the quality of our products, and the commitment of our teams that allow us to prepare for economic and geopolitical uncertainties with some confidence. And Hermès is a strong group because of its long-term strategy, which I think has paid off, and you've seen the latest figures for the share price. Thank you very much. And if you have other questions, do not hesitate. Thank you very much, and have a great day.
Operator: Ladies and gentlemen, the conference is now over. Thank you very much for taking part. You can now sign off. Thank you.